Venus Zhao: Good morning, everyone, and welcome to CBL International Limited's Interim Results Presentation for the period ended June 30, 2025. Today's meeting will be conducted in English with simultaneous translation into Mandarin. Before we begin, I'd like to remind you that today's presentation will include forward-looking statements made pursuant to the safe harbor provisions of the Private Securities Litigation Reform Act of 1995. These statements are subject to risks and uncertainties that could cause actual results to differ materially from our expectations. Thank you for joining us today. I'm Venus Zhao, Investor Relations and Public Relations Director of CBL International Limited. Presenting alongside with me are Dr. Teck Lim Chia, Chairman and Chief Executive Officer; and Mr. Nicholas Fung, Assistant Chief Financial Officer. We are excited to share our performance and achievements in first half 2025 and provide an outlook for fiscal year 2025. Let's begin with today's agenda. Our presentation will cover the following: first, company introduction; second, market trends and geopolitical impact; third, financial review; fourth, operational review; fifth, strategic initiatives and market outlook; and sixth, Q&A. Let me start with a brief introduction to CBL International. CBL International Limited, NASDAQ ticker, BANL, is the listing vehicle of Banle Group, a reputable marine fuel logistics company based in the Asia Pacific region that was established in 2015. We are a global marine fuel logistics provider operating under an asset-light business model. Our key services include bunkering services across strategic global ports, supplying both fossil fuels and sustainable fuels and serving container liners, bulk carriers and tankers. We are recognized as professional and trustworthy by our business counterparties, delivering flexible and integrated vessel refueling solutions. Our competitive advantages include: first, global ports network. We operate in over 65 ports across Asia Pacific, Europe, Africa and Central America; second, supplier relationships. We maintain strong relationships enable us to offer competitive fuel pricing, superior service and operational efficiency. Third, customer relationship. With our extensive service, we can provide one-stop refueling solutions for customers, ensuring seamless service and operational efficiency. Fourth, growth strategy. We are focused on expanding our service network, increasing sales volumes and integrating sustainable fuel solutions to meet evolving market needs. This short corporate video will give you a comprehensive overview of our company's operation. I hope this video provides insight into who we are and the exciting opportunities that lie ahead. Please enjoy. [Presentation]
Venus Zhao: Okay. Let's come back to our presentation. We've maintained long-term strategic partnerships with global industry leaders and are recognized in the industry as a professional and trustworthy provider of flexible and integrated vessel refueling services. Through collaboration with reputable local partners, we consistently deliver high-quality services to our clients worldwide. This ensures access to efficient, reliable and competitively priced bunker fuel solutions, meeting the diverse needs of the global maritime industry. Now we move on to market trends and geopolitical impact. Let's continue. Seaborne trade and container volume have demonstrated steady growth as shown in this review of maritime transport by United Nation. According to UNCTAD, total seaborne trade grew by 2.5% in 2025, while containerized trade grew by 2.9%. Both are forecasted to maintain moderate annual growth rate through 2029. Ship supply increased by 6.1% in 2025, with demand grown by 3.5% to 4.5%. These numbers reflect a consistent recovery and expansion of global trade. CBL's bunkering operation network aligned strongly with this trend, with a presence in 13 out of the top 15 global container ports, including 9 of the top 10 ports such as Shanghai, Singapore and Ningbo-Zhoushan. On the customer front, CBL serves 9 out of the top 12 global container liners, which represent a combined around 60% market share in global container liners. Let's move on to the slides, which highlights geopolitical tensions and market impacts. Global maritime trade faced significant disruptions in first half of 2025 due to geopolitical tensions. First, let's review the whole global economic landscape. The broader economic environment remains uncertain. The recent decline in oil prices that were a source of market uncertainty directly eased our working capital. Seaborne trade showed moderate resilience, expanding by 1.5% in the first quarter and accelerating to a projected 2% in the second quarter. One of the notable disruptions in global shipping was the ongoing instability in the Red Sea, where vessels were rerouted via the Cape of Good Hope. This diversion extended Euro-Asia voyages by 10 to 14 days, resulting in an increased fuel consumption due to longer travel distances. Constantly, demand for bunkering services surged at alternative ports along this rerouted shipping lanes. The situation in Ukraine and the accompanying sanctions contributed to the instability in energy markets, prompting the European Union to see alternatives to Russian fuel supplies. The shift added volatility to global oil prices creating challenges in fuel supply and demand. U.S. trade policy, particularly the tariffs implemented in April 2025, significantly impacted global trade flows, leading to a shift in shipping volumes. These tariffs directed cargo from traditional routes, especially between China and the U.S. to alternative regions such as intra-Asia and Euro-Asia. This adjustment in this demand for bunkering services along these alternative corridors, particularly in the Asia Pacific and the Euro-Asia regions. Despite these challenges, the CBL team responded swiftly and strategically. We targeted the increased demand from rerouted vessels ensuring that our strategic supply chain could meet this demand effectively responded by capturing this increased demand resulting in a notable rise in sales volumes across Asia Pacific and Europe. Refraining from supplying vessels subject to the sanctions that were outlined in Lloyd's List containing United Nations Securities Council Consolidated List, maintained operational efficiency positioning CBL to navigate both the economic uncertainties. Let's move on to our financial highlights. Here are the first half 2025 financial highlights, showcasing CBL's strong performance. Total sales volume grew by 9.8% while revenue decreased by 4.4% to USD 255.2 million. Gross profit margin increased by 4 basis points to 1.02% and net loss narrowed by 38.8%. Our current ratio of 1.54 demonstrates healthy liquidity, while capital days at negative 4.44 highlights excellent cash cycle management. In the first half of 2025, CBL's revenue distribution and growth by geographic location, highlight key market trends. China accounted for 67.5% of total revenue, followed by Hong Kong at 27.8% and Malaysia at 2.1% with smaller contributions from Singapore, South Korea and others. Compared to the first half of 2024, revenue growth was seen 26% growth in China and 131% in others. CBL's strategic focus on establishing network to capture regional demands as they shifted supported by macro seaborne trade volume in China and Europe. Diving deeper into our financial results, revenue, CBL's total revenue decreased by 4.4%, reaching USD 265 million down from USD 277 million in the first half of 2024. The decrease was mainly attributable to the decrease in the marine fuel price, which was partially offset by the increase in the sales volume. Gross profit. Gross profit remained at a similar level, while gross profit margin slightly improved. We managed to maintain our gross profit with an increase in sales volume to cope with the challenging competition in the market. Operating expenses. Operating expenses decreased to 17% from USD 4.12 million to USD 3.42 million. The decrease was due to harvesting the results of our investment in the past year on enlarging port network, expanding our customer base and developing our biofuel operations and initiatives undertaken in the first half of 2025 to streamline operations. Net income. Net income narrowed from a loss of USD 1.62 million in the first half of 2024 to a loss of USD 0.99 million in the first half of 2025. This 38.8% improvement was mainly driven by the reduction of operating expenses through the costs savings and control initiatives in the group's operations during the period. CBL's high liquidity and financial flexibility have enabled sustainable growth in the first half of 2025. Working capital management, high liquidity strengthens the cash cycle and supports business operations. Bank facility, ample bank facilities. Our total facilities USD 50 million to fund future business expansion. Debt and leverage, focused on maintaining low debt levels provides flexibility for future growth. Just-in-time inventory management, optimize cash flow minimizes storage risk and enhances efficiency, minimal fixed assets maintaining a lean asset base ensures operational agility. Let's move on to operational review. Global development is part of CBL's 4-step strategy, and we have continued to see successful expansion since our IPO in 2023. As of June 30, 2025, CBL's global service network has expanded to 65 ports, an increase of 81%, marking a significant milestone in our growth strategy. The Asia Pacific region remained CBL's primary revenue driver, with key contributions from China, Hong Kong, Malaysia, Singapore and South Korea. Volume attributable to deliveries in Asia Pacific surged 9.1% year-on-year. Given several ports in Asia Pacific are major global shipping hubs, 13 of the world's top 15 container ports in 2024 according to the world's least bunkering operations in these regions account for a significant portion of deliveries. The expansion is especially evident in Europe, where our strategic focus on the ARA region has enhanced our market presence. We continue to develop our presence through our service network and maintain relationships with suppliers and customers. While current volumes in these regions remain steady, we are well positioned to scale operations in response to rising customer demand, ensuring we can meet market needs as they arise. In the first half of 2025, CBL achieved a 9.8% increase in sales volume despite a challenging macroeconomic environment marked by fluctuating oil prices and geopolitical instability. This growth was fueled by expansion of our service network. The successful acquisition of new customers and a strategic shift towards non-container liner segments. As of June 30, 2025, CBL serves 9 of the world's top 12 container shipping lines, which contributed to nearly 60% of global container fleet capacity. The company's expanding customer base and broader service portfolio have reinforced its market position. Customer diversification. Revenue share from top 12 liners increased to 60.1% versus 45.7% in the first half of 2024. Non-container sales, Bulk and Tanker accounted for 36.9%. Top 5 customer sales concentration declined to 60.4% in the first half of 2025 versus 66.7% in the first half of 2022. New customers from 2024 and the first half of 2025 contributed to 11.9% in the first half of 2025 sales. In the biofuel sector, CBL achieved a significant growth in sales and volume in the first half of 2025 and Biofuel sales saw an impressive increase of 154.7% year-on-year in the first half of 2025, with volume growth reaching 189.5%. This growth can be attributed to CBL's continued leadership in the sustainable fuel market driven by the increasing adoption of biofuels among our customers. CBL has remained at the forefront of biofuel adoption with increased sales volume in Singapore Malaysia, Hong Kong and various ports in China. Globally, CBL facilitated the first B24 supplies across several markets. Besides the launch of biofuel helped reduce the GHG emissions by 20% compared to traditional fuels. CBL has obtained ISCC EU and ISCC Plus certifications in early 2023. We supplied biofuel in Singapore since March 2025 and proactively support customers to meet IMO GHG targets with sustainable and cost-effective alternatives. Looking ahead, CBL plans to further diversify biofuel offerings and strengthen our market position in green marine fields. In addition, the company will explore more greenfield options such as LNG and methanol to meet the evolving sustainability regulations and industry demand. In the capital markets, CBL also made a remarkable progress with the following highlights. In January 2025 the company filed a shelf registration statement, which became effective on January 24, 2025, allowing for the offering of securities with an aggregate initial offering price of up to USD 50 million. Following this, on January (sic) [ February ] 28, 2025, the company initiated an at-the-market, ATM, offering with a total offering price of up to $2,604,166. The net proceeds from the ATM offering will be used for general corporate purposes, including acquisitions, business opportunities and debt repayment with management retaining discretion over the allocation. Additionally, on June 30, 2025, the company launched a share repurchase program approved by the Board of Directors authorizing repurchases of up to the lesser of USD 5 million or 5 million ordinary shares set to expire on April 15, 2028. Repurchases will be made in the open market with amounts and timing, depending on the market conditions and corporate needs. The company highly values the relationships with our investors. In the first half of 2025, we have participated in several investor events and conferences such as Lytham Partners Investor Conference, Noble Capital Market Virtual Equity Conference, 8th China IR Whitepaper Summit, SZSE 2025 Global Investor Conference. Besides, we also held media and analyst luncheon and Investor Happy Hour to further exchange insights with investors and media in person. CBL continues to actively communicate with different sites through various platforms, including AGM, newsletter, website and social media. Our efforts have received a market recognition. We have won the Most Creative Corporate Communication Award at the 2024 Valuable Capital Community Annual Selection, and the Best Digital Investor Relations Award and Best Investor Relations Director at the 8th China Excellence IR Awards. As an industry pioneer, CBL is committed to sustainability development and has initiated multiple steps with fruitful outcomes in ESG. In the first half of 2025 built a corporate model for sustainability development, focusing on a reliable and responsible marine fuel supply, customers' growth supports and life quality enhancement. Engaged a consultancy with the aim of enhancing our ESG practices in a comprehensive 4-stage approach. Conducted a materiality analysis on sustainability issues among internal and external stakeholders. Organized various maritime-related volunteering programs and initiatives to support ESG practices in community. Following the corporate responsibility road map, we will mainly focus on 3 parts: ESG goal setting, ESG rating platform and ESG disclosure. Looking forward, CBL will continue to take actions in ESG to achieve a sustainable development. More specifically, CBL's 2025 ESG plan and long-term commitment underscores the importance of adopting ESG practices to enhance transparency, implement sustainable initiatives, manage risk and meet stakeholder expectations. On the environmental front, CBL leads with its biofuel initiative aligned with IMO's 2023 strategy, blending marine fuel oil with 24% UCOME to reduce scope 3 supply chain emissions. The company also supports customers in achieving sustainability goals while ensuring its biofuel production, avoids deforestation, land use changes and competition with food production. In terms of social responsibility, CBL promotes equitable practices, including adherence to pay-for-performance principles, fostering diversity and inclusion with strong female representation and supporting employee development through education subsidies. CBL also prioritizes employee well-being with regular events and encourages community engagement by holding various training and programs, such as International Coastal Cleanup for World Oceans Day. On governance, CBL's practice is in alignment with IMO decarbonization targets and FuelEU maritime regulation. The company ensures fresh perspectives and independent oversight through annual director elections and rotation. The company also established strong reporting channels for misconduct, fraud, or violations of company policy ensuring swift management response and whistleblower protection. The plan is structured across 4 phases: Q1 to Q2 2025, establishing a sustainability strategy, governance framework and action plan; Q1 to Q3 2025, improving sustainability management and implementing the sustainable development plan; Q2 to Q3 2025, implementing our sustainable development plan; Q3 to Q4 2025, enhancing disclosure practices and strengthening investor relations. Now let's move on to strategic initiatives and outlook. Looking ahead to fiscal year 2025, our key initiatives include strengthen our service network, focusing on Asia Pacific and European markets, strengthening our presence in emerging markets, continue expanding ports coverage. Grow sales volume; continue to target new customers and new segments while maintaining strong relationships with current customers. enhance market position, stronger and more in-depth supplier relationships. Export sustainable fuels; Biofuel adoption as a core of CBL's sustainability strategy, focus on compliance with the latest carbon emissions regulations with further exploration of biofuel products and other sustainable fuels. The International Maritime Organization, IMO, agreed on its global greenhouse gas, GHG, framework in April with full implementation set for 2028. This decision further emphasized the urgency of reducing emissions, promoting biofuel adoption and encouraging future investment in ships capable of running on zero carbon fuels. In the first half of 2025, CBL has the following achievements, improving its performance across 3 key areas. First, to improve gross profit and narrow down net losses. The company plans to increase sales volume through network expansion and new customer acquisition while leveraging its network to mitigate supply chain disruptions. CBL will also focus on developing biofuels and exploring sustainable fuels such as methanol and LNG for higher margins. alongside achieving economies of scale to reduce unit costs. CBL's gross profit margin increased by 4 basis points and net loss has narrowed by 38.8% in the first half of 2025. Second, to maintain sufficient cash flow and manage working capital. CBL will prioritize a strong cash position, strengthen liquidity and closely monitor accounts receivable and payable. Accessing the capital market at the right time and increasing trade financing will further enhance financial flexibility to support growth initiatives. In the first half of 2025 CBL's current ratio improved from 1.51 to 1.54, while capital days improved by 1.8 days to minus 4.44 days. Finally, to enhance efficiency, CBL will utilize office automation and IT systems to streamline operations and explore advanced technologies for continuous improvement, cost saving, upgrading back-end systems and implementing real-time order tracking, data analytics. CBL's operational expenses has decreased by 17%. These efforts will improve customer service and operational efficiency, enhancing sustained progress and long-term growth. Thank you for your attention. We are now happy to take your questions. Please feel to share your queries, and I will facilitate the discussion along with Dr. Chia and Mr. Fung.
Venus Zhao: [Operator Instructions] I can see the first question on the screen. The first question is, among growth areas, what was the most significant achievement achieved by CBL? How did the company produced results in this area? And what were the challenges? And how does CBL overcome them. This question is from [indiscernible] from Southwest Securities. I would like to direct this question to William.
Teck Chia: Sure. Good morning. Thank you very much for joining our webcast this morning. Thank you, Mr. [ Wu ], for the questions, and thank you, Venus, to the presentations. Well, I think we all know, ocean is never short of challenges. Right now, we are actually facing geopolitical conflicts, Red Sea crisis, tariff war, switching to biofuel and other renewable energies. We have been seeing all these challenges one by one all coming together, but we have managed to keep and maintaining our growth. We have achieved a sales volume growth of almost 10% for the first half of 2025. And we have achieved continuous growth in the sales volume over the past few years. And amid all these challenges, we managed to keep down our expenses and reduce our loss. We will continue to strive to make more improvements. And CBL's significant achievements, we have made rapid and strategic expansions on our global service network, growing form 36 ports at the time of our NASDAQ IPO in the year 2023 to 65 ports by the first half of 2025. This expansion underscores our successful execution of a scalable, asset-light growth, our asset-light growth model and solidifies CBL's presence across key maritime regions, including the Asia Pacific, Europe, Central Americas and Africa. And our growth was actually driven by targeting entity into high-demand ports and strengthens our partnerships with major suppliers and customers. We focus on customer-driven diversifications, especially in bulk carriers and tankers, which is actually beyond our core container liner space. This move has actually allowed us to capture volume growth despite a very challenging market and a declining bunker price environment. And CBL has navigated through significant headwinds, including geopolitical disruptions, oil price fluctuations and intensified competition in key markets where we operate. By leveraging our agile and capital-light structure, we minimize the fixed cost while we're securing scalable supply partnerships as well as our early investment into biofuel capabilities such as the successful rollout of the ISCC certifications in China, in Hong Kong, Malaysia and Singapore, we're supplying these ports enable us to align with the tightening emissions regulations and customer demand for sustainable options. The strategic and operational agilities allow CBL to expand meaningfully without compromising our financial stabilities. We are turning challenges into differentiators and reinforcing our value propositions as a resilient and a future ready bunkering partner.
Venus Zhao: Okay. [Operator Instructions] and will be allowed for management to address. Okay. I see the second question on screen. CBL reduced its net loss by 38.8% year-on-year in the first half of 2025 despite challenges in the macroeconomic environment and oil price volatility. What were the key drivers behind this improvement? And how sustainable are the measures for the second half of the year? This question is from [ Ryan Chen ] from [indiscernible] Financial. I would like to direct this question to Nick.
Chi Kwan Fung: Thank you very much and thank you for everyone joining this event this morning. Well, in our first half of 2025, the improvement in bottom line of 38.8% was a result of efforts and resources invested to enhance our port network, expand our customer base and develop our biofuel operations over the past years. We now have to sustain our such investment. As a result, we increased our sales volume by double digits. In full year of 2024 as well as first half of 2025. We brought in new customers and lower our reliance on top 5 customers. Our biofuel sales have continued to demonstrate significant growth in the past 12 months. In addition, in the first half of 2025 by streamlining our operations, thus enhancing operational efficiency, we reduced our OpEx by 17%. Going forward, we continue to look for investment windows to further expand our network and especially for the sustainable fuel segments. In fact, we have taken more strategic approach to optimize our profitability. Thank you.
Venus Zhao: Thank you, Nick. And then we will come to the third question. The third question on screen is, given the ongoing geopolitical tensions and disruptions in shipping routes, how is CBL positioned to capture demand from rerouted trade flows especially in the Euro-Asia and intra Asia corridors? This question is from Marcus Wong from Hang Seng Bank. I want to direct this question to William.
Teck Chia: Thank you very much, Marcus, for raising these questions. And the ongoing instabilities in the Red Sea, which has led vessels to reroute via the Cape of Good Hope extending the Euro-Asia voyages by probably about 10 to 14 days. And as a result of that, increasing the fuel consumptions. These 3 directions has caused a surge in demand for bunkering services at alternative ports along these new routes. And CBL has actually targeted ourselves to meet these demands and to capitalize on the opportunities. While on the U.S. trade policy changes in April this year, has also redirected cargoes to different regions, the shift in the trade flows has increased the demand for bunkering services in Euro-Asias's and Intra-Asia's corridors. And luckily enough with our CBL's extensive supply network in these regions, we are seeing additional requirements for our services. Therefore, despite all these disruptions, we have responded effectively resulting in increased sales volumes in the Asia Pacific and other emerging markets. And CBL's bought supply network has also positioned ourselves to adapt to changing trade flows while we maintain efficient bunkering operations and also able to seize the opportunities in this new and alternate routes.
Venus Zhao: Thank you, Mr. Lim Chia. Okay, please, all the investors, please type in your questions on the question for us, and I will read it now for management to address. So I can see the fourth question on the screen. Gross profit margins increased slightly to 1.02% in the first half of 2025. How does CBL plan to maintain or further improve margins as you continue expanding your supply network and customer base? This question is from [ Pauline Lau ] from Citibank. I would like to direct this question to Nick.
Chi Kwan Fung: Okay. Thank you. Thank you, Pauline of Citibank for these questions. Well, in the first half of 2025, we managed to maintain our gross profit at the same level as compared to 2024. Our sales volume increased while our gross margin improved from 0.98% to 1.02%. We continue to improve our gross profit by increasing sales volume riding on the foundation we laid down in our expanded network, improved customer base and growth in non-container liner and biofuel segments. Furthermore, we keep on exploring new sustainable fuels such as methanol and LNG for higher margins and to achieve economies of scale to reduce unit cost. We believe our profitability will improve through those measures and actions. Amid market volatility, conflict and geopolitical tension, we still achieved steady growth of sales models. As we adopt our cost-plus model in our pricing, our gross margin increased when the sale -- with oil price come down in 2025 first half. Looking forward, if world trades recover to normal when tariff wars stabilize, we expect there may be further improvement in our gross margins.
Venus Zhao: Thank you, Nick. I see more questions coming on the screen. And the next question will be non-container liner sales now account for 36.9% of revenue, reflecting successful diversification efforts. How does CBL plan to further grow this segment while maintaining strong relationships with container liners customers. This question is from [ Alvin Cheung ] from Prudential Brokerage Limited. I would like to direct this question to William.
Teck Chia: Thank you, Alvin. Well, thanks to our network expansions in the last few years, we are able to provide reliable and flexible supply arrangement for our non-container liner customers like those bulk carriers and tankers. And also thanks to our network expansions in the last few years, we can effectively and efficiently serving the non-container liner customers where [ yard ] vessels has less predictable scheduling as compared to the container liners. But meanwhile, we continue to service 9 out of the top -- the world's top 12 container shipping liners, which represent nearly 60% of the global container fleet capacities. And CBL has been actively targeting new customers, including mid-tier shipowners, bulkers, tankers and others. Now our customer diversification has actually reached a significant milestone. and non-container liner sales has become an important segment for us, accounting for about 36.9% of our revenue. And our sales concentrations for the top 5 customers has also reduced to 60.4% from the previous 66.7% in the same period.
Venus Zhao: Thank you, Mr. Chia. Okay. [Operator Instructions] So the next question will be operating expenses decreased by 17% in the first half of 2025. What were the primary cost efficiencies achieved? And how do this reflect the company's long-term strategy for expense management? This question is from [ Alan Wu ] from Phillip Securities. And I would like to divert this question to Nick.
Chi Kwan Fung: Thank you, Alan, for raising these questions. Well, it has been our strategy to develop new ports, improve our customer base and diversify profit mix for the past 3 years, including 2024. Therefore, we deploy efforts and resources in this respect. In 2025, it actually is our harvest year rather than planting as compared to previous years in this regard. As some of these spendings are nonrecurring in nature, such as port operation preparation for new ports, market intelligence regarding new customers and new products such as biofuel and methanol. We keep the operating expenses down. This enabled us to achieve promising results. In the first half of 2025, we implement initiatives to streamline our operations and rationalizing our resources as a result we have savings in OpEx. To continue enhancing our operational efficiency, we utilize office automation and IT system to streamline operations, allocate resources to explore advanced technologies for continuous improvement. Cost saving and upgrade back-end system, implementing real-time order processing and data analysis, we'll keep investing for the future when good investment opportunities arrived.
Venus Zhao: Thank you, Nick. Okay. We come to the next question. This question is, any expansion plan in the second half of 2025? And looking longer term, what does the 5-year plan look like for the business? And how do you expect its business model to evolve by 2030? This question is from Nelson Lee from ICBCI. And I would like to direct this question to William.
Teck Chia: Thank you very much, Nelson, for these interesting questions. Well, I would say, despite the challenges posed by uncertain global economic conditions, geopolitical volatilities and regional crisis, our gross profit remained stable. And in the first half of this year, we had successfully reduced net losses, successfully diversified our customer base and successfully improved on our operational efficiency and cost management. These strategies and measures we implemented have proven effective in navigating us through these turbulent times. And our strategy will be continuing to strengthen service network, grow our sales volume and further explore the sustainable fuels. We will continue to focus on our extensive supply network in Asia Pacific and at the same time, looking at strengthening our presence in the emerging markets. We will also continue to target new customers and new segments while deepening our strong relationships with the current customers. We will continue to promote stronger and more in-depth suppliers' relationship as well. We will continue to ensure that we have the adequate financial resources for our expanded business. And as we can see, in the past 12 months, we have successfully secured more banking facilities to support our growth. And on the sustainable fuel side, biofuel adoptions is actually one of our core sustainability strategies. We shall focus on compliance with the latest carbon emissions regulations and to further explorations of biofuel products. At the same time, we will be also looking at other sustainable fuels as well. We are also regularly exploring different vertical and horizontal integration opportunities in order to strategically position ourselves to capitalize on the growth opportunities and as well as the support our customers in meeting the decarbonization goals. We are growing Banle to be a full-fledged bunkering service facilitators. We strive for customer segment diversification from customers, from containers to non-container customers, from fossil fuels to biofuel and renewable fuels from Asia to the world. We are proud to build Banle into a well-rounded bunkering service facilitators for the future.
Venus Zhao: Thank you, Lim Chia. [Operator Instructions] Now we come to the next question. As the CEO of an international bunker service facilitator, what industry-specific observations and forecast do you see taking place on a global scale? And how are you preparing your company to capitalize on this development? This question is from [ Alan Lau ] from Jefferies, and I would like to direct this question to William.
Teck Chia: Thank you very much, Alan, for the questions. Well, probably we can share a few industry observations and forecast that we see for your reference. First, we do see that there is resilience in the container shipping and the fleet expansions. Global fleet -- container fleet has actually increased by more than 10% in the year 2025 as compared to last year. This is actually driven by new vessel deliveries and -- as well as the demand for diverted growth. For example, the Red Sea disruptions that you require longer voyages, and therefore, you need more ships. However, this growth is actually tempered by trip policy volatilities, which might temporarily dampen volumes. But at the same time, we also see that it will spur regional trade realignment towards Intra-Asias's as well as the Euro-Asia's corridors. And second, probably on the geopolitical and the trade dynamics. Red Sea disruptions extended wages by 10 to 40 days, increased bunker demand at alternative routes as well as the U.S. tariff has redirected the trade flows, boosting Intra-Asia as well as the Euro-Asia's bunkering demand, but also creating some near-term volatilities. And third is what we see is the carbon emissions recovery as well as the regulatory accelerations. Carbon emissions in ocean shipping is actually improving post 2024 peaks aided by growth normalization as well as the adoptions for lower carbon fuels. And you can see that IMO in their 2023 GHG strategies in EU ETS and few EU marine times are actually exacerbating biofuel adoptions. The green marine fuel market is actually projected to grow at 50.4% CAGR from the year 2023 to the year 2030. So we see that there is a great demand in the market for green marines. And fourth on the biofuel and other sustainable fuel adoptions, the biofuel demand for CBL has actually surged 155% year-on-year in this first half of 2025. This is actually driven by the regulatory compliances as well as our customers' decarbonization goals. And also, on the other hand, is we see the Mediterranean ECA implementations in May this year requiring a 0.1% sulfur fuel. Therefore, it's boosting the ultra low sulfur fossil fuel as well as the bio-blended bunker demand. And coming to the CBL strategic preparations. First of all, we will continue on our network expansions and diversifications. We have currently scaled to 65 ports supply network globally, focusing on high-growth hubs in the Asia Pacific as well as the ARA regions in order for us to capture growth and demand. And to tailor with the traffic-driven trade shifts. This will also reduce our customer concentrations, expanding to other segments like the bulk carriers, the tankers and also other mid-tier shipowners. And second, we will also be pioneered in biofuels to ensure compliance readiness. And the company is actually expanding our partnerships and collaborations with biofuel suppliers, producers of UCOME as well as UCOME particularly in the Asia Pacific, where we have a very strong existing supply network, where we will maintain our ISCC EU as well as the ISCC Plus certifications to ensure the compliance with increasing stringent requirements in Europe and globally. We will also be sharing and assisting our customers onboarding and supporting them in easing the transitions for them to go into biofuels. This shall include the possible technical systems on handling and sharing the information on the combustion characteristics of the biofuel plants. Meantime, the company is also exploring any opportunities in suitable energy supply chain. And coming to financial resilience and flexibilities. We are always preparing ourselves for future developments of the company. We had secured ample banking facilities to fund our working capital and growth initiatives. And our market is challenging and competitive. However, we strongly believe our current business model has proven to be prudent and is able to navigate through all these oil prices volatilities. Coming to technologies and risk mitigations, we have been proactively leveraging with IT tools for our credit and risk management. We also implement real-time order tracking advanced monitoring systems to enhance operational efficiency. The company utilized market intelligence tools in order for us to avoid any [ sanctioned ] vessels, ensuring that we are in strict compliances and at the same time, minimizing the geopolitical risk. Well, as the CEO of the company, I see obvious trend that the maritime industry is navigating through the historical transitions towards a new frontier calling for sustainabilities and trade realignment. CBL is in position to capitalize through our agile network, biofuel expertise and disciplined financial management. CBL is regularly exploring different verticals and horizontal integration opportunities. The company is also firmly believing in the future demand for sustainable fuels and regional trade shifts. We are well prepared, well positioned to receive these transformations.
Venus Zhao: Thank you, Lim Chia, for the very comprehensive explanation. And then due to limited time, we come to the last question. And this question is considering the U.S. new reciprocal tariffs update and effective on 7 August, what is the impact on CBL and the bunkering industry? This question is from Tony Fei from BOCI, and I would like to direct this question to William.
Teck Chia: Thank you, Tony. Well, as CBL currently, we do not have operations in the U.S. ports. Our direct impact from the U.S. tariff changes is minimum. However, we do see that tariffs has redirected cargoes from traditional roads not apply between China and U.S. to alternative regions like Intra-Asias and Europe. This shift has increased demand for bunkering services along the alternative corridors as the areas that we have mentioned, Asia Pacific as well as the Euro Asia. We can see from [ Dana Liner's ] report saying that 7.8% increase in the export to the far east and a 2.3% rise in imports from the Far East to other regions. This is covering the period from January to May this year. We see these strict pattern changes has actually affected global shipping, particularly impacting the container sector due to their requirements for reroutings. And as for our company, the overall impact has been limited. We have managed to leverage these changes by our extensive network and able to meet the demand generated from these new trade flows. Therefore, monitoring the evolving global trading landscape remains a priority for us in the second half of the year. Thank you.
Venus Zhao: Thank you, Mr. Chia. Okay. Thank you all the questions from investors, and this concludes our investor presentation for today, and thank you for your participation and support of CBL. If you would like to have further discussion with our management, please feel free to contact us any time for arrangement. Once again, thank you for your time today, and you may now disconnect. Thank you.
Teck Chia: Thank you very much.
Nicholas Fung: Thank you.